Operator: Thank you for standby. And welcome to the Beach Energy Limited FY 2025 Half Year Results. All participants are in a listen-only mode. There will be a presentation, followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Brett Woods, Managing Director and Chief Executive Officer. Please go ahead.
Brett Woods: Good morning, everyone, and welcome to Beach Energy's FY '25 Half Year Results Presentation. Joining me today is Anne-Marie Barbaro, our Chief Financial Officer. Together, we will take you through our half year results and provide an update on the outlook for the remainder of FY '25 before we open up for Q&A. Before I begin, I'd like to acknowledge the hard work and dedication of the entire Beach team. You'll recall that we announced our strategic review towards the end of last financial year. And since then, we've been extremely busy with the organizational reset and implementing a rank initiatives, while keeping focused on safe delivery of operations and major projects. Today, it's pleasing to announce a set of results, which reflects initial outcomes from that strategic review. I believe the results demonstrate good solid progress and early signs of what is ahead for Beach; production growth, cost reductions and increases in earnings, cash flow and dividends are key themes for today. Importantly, we have achieved these results with outstanding safety and environmental performance. Slide 2 sets out our compliance statements, which I'll leave for you to read at your leisure. Slide 3 lists the key milestones for the first half. The organizational elements of the strategic review have been completed. The business has been restructured, and we achieved our target 30% head count reduction. In fact, we've exceeded that target and currently have 32% less head count than at our peak last year. The appointment of my executive leadership team is also complete, and I'm glad that many of you got to meet them during the Waitsia visit in December. It is great to see the vigor in which the ExCo are chasing our opportunities in implementing our strategic initiatives. In the field, this half saw completion of two major projects and progress on Waitsia. Successful connection of the Thylacine West wells and completed the offshore Otway program and commissioning and ramp-up of Moomba CCS completed the SLMACC emissions reduction project. I'll talk to our major projects in more detail shortly. Another great outcome was the success we had in the Bass Basin with our wellbore descaling initiatives. We first trialed this at Yolla 6, which greatly improved gas flow and subsequently followed it up with two other producing Yolla wells. This is a low-cost initiative at roughly $60,000 per well, which has delivered a material uplift in production. This past week, we have averaged over 25 terajoules a day of sales gas production, which compares to around 9 terajoules a day last financial year. This additional gas is going into the spot market to help ease current East Coast supply constraints. This is a great example of our operating philosophy for non-core assets. Our selective capital investment in this instance has delivered material value uplift. Turning to Slide 4 and our headline financial results. This half, we recorded an uplift across all key metrics, which, as I mentioned, is a solid outcome following on from our strategic review. Production was up 15% from the prior corresponding period. In the Otway Basin, we saw more than doubling of production from higher take-or-pay arrangements and increased well deliverability following connection of Enterprise and Thylacine West. The Bass Basin also provided a meaningful contribution to growth, thanks to the descaling initiatives. On the earnings front, in addition to stronger production, the great work done by our commercial team in the Waitsia joint venture partner, Mitsui in securing gas swaps for early LNG cargoes contributed to revenue growth. Two Beach LNG cargoes were lifted in the first half and delivered $139 million of revenue and supported a 5% increase in total sales revenue to approximately $1 billion. Reductions in costs, including a 20% reduction in unit field operating costs also underpinned our results. These factors combined to drive a 20% increase in the underlying EBITDA to $587 million and a 37% increase in underlying NPAT to $237 million. With higher production, revenue and earnings, our cash flow and liquidity position strengthened. Liquidity increased to $631 million, net gearing reduced to 10% and pre-growth free cash flow increased tenfold to $431 million. In recognition of first half performance, the Board has declared a $0.03 per share fully franked interim dividend. Whilst our free cash flow for the first half of FY 2025 has been strong, we've taken a balanced approach on the interim dividend to recognize the seasonality of gas demand on the East Coast as well as the upcoming offshore abandonment activities that will be kicking off in the second half of FY 2025 as part of the Equinox campaign. Turning to Slide 5, which shows our continued solid outcomes across safety and environmental performance. We again recorded no Tier 1 or Tier 2 process safety events and no environmental spills of more than one barrel. Unfortunately, over Christmas, we had one recordable injury, which ended our record 12-month run of being recordable injury-free. An employee's hand was pinched in poorly during maintenance activity. He has fully recovered and as expected, and we're implementing measures to prevent such incidents in the future. We are fully committed to a safety and well-being culture pursuing continual improvement in Beach's business. On Slide 6, we show the key highlights from our offshore Otway Basin development program and Moomba CCS project, both of which were completed during the half. In the Otway Basin, the six-well development program concluded with the connection of Thylacine West 1 and 2. The Thylacine West sales have performed in line with expectations since coming online. Beach has invested in the Otway Basin to restore well deliverability for the gas plant and bring much needed new gas to the East Coast market. It's great to see the plant operating at higher rates and knowing that we have additional gas available for the market when our customer needs it. On the emissions front, I was in the Cooper Basin last week with our joint venture partner, Santos, along with the Premier of South Australia, Peter Malinauskas and Minister of Energy Mining, Tom Koutsantonis to our Moomba CCS facility. The committing process and ramp-up of CO2 injection well exceeded our expectations, which is an absolute credit to the project teams. Our capacity injection rates, the emissions reduction delivered by Moomba CCS is equivalent to taking roughly 700,000 petrol cars off the road each year. So we're making a real contribution to Australia's emissions reduction journey. The success of Moomba CCS trucks, a tolling blow to naysayer who are choosing anti-gas ideal goescience. Turning now to Waitsia on slide 7. The key milestones of mechanical completion being construction of the plant was achieved during the first half and the completion of the Phase II development drilling scope is now done. We are now in full final commissioning phase and continue to target first sales gas from the plant in the first quarter of FY 2025. In December, we announced some quality issues at the valve station for Xyris to Waitsia flow line. Most of the valve rectification works have now been completed. However, there are still some components, which we're expecting delivery this month -- mid this month. While this delayed the introduction of Xyris fuel gas into the plant to support commissioning activities, we've maintained our first sales gas target. In conjunction with the operator, Mitsui, we have established plans to introduce temporary power and hot water supply to progress critical commissioning such as the [indiscernible]. This would previously only been undertaken one virus fuel gas was introduced to the plant derisking the schedule. Beach now has in excess of 20 senior professionals seconded into the commissioning team to support Mitsui. Mitsui's operators controlling the commissioning schedule and activities with cloud personnel taking traction from Mitsui now. We acknowledge frustration and lengthy delivery time for this project. Beach is non-operating is doing what it can to support this process. Despite the challenges, a real positive has been our ability to see gas fire time swaps to fill early LNG cargos. In addition to the two cargos in FY 2024, Beach slips another two cargos this half and has delivered $293 million in revenue at a healthy average price of over AUD18 per MMBtu. These gas swaps have been a great initiative with key advantages being bringing forward revenue and cash flow, which would otherwise been dependent on Waitsia plant startup, benefiting from strong commodity pricing and the pricing inherit in the Beach's LNG contracts, utilization of committed processing costs at the Northwest shelf, which are payable regardless where volumes flowed or not, and the strengthening of our financial position, thanks to significant cash contribution from these cargos. With all cargo ship today and the Fifth in January, the material contribution weighted while running at full rates is now evident. Holding all else constant and ignoring factors such as debottlenecking upside, we would expect eight to 10 Beach LNG cargoes per year. Now turning Slide 8 for a quick look at our second half focus. Commissioning the Waitsia Gas Plant is clearly a priority. And though we're not operating Waitsia joint venture, Beach will continue to deliver support to Mitsui and bringing the plant online. In the Perth Basin, we have also some exciting drilling coming up. The Arenaria gas exploration will be drilled from the L1 permit, meaning any discovered volumes could be directed to the Waitsia export license. Beharra Springs Deep 3 development well aims to convert undeveloped 2P reserves and will help inform future development plans for that field. Two other important work programs will commence this half. First, we've been planning the next phase of the offshore Victoria activity for some time, and we will soon commence that program. I will take you through that campaign in more detail shortly. But in the fourth quarter, we aim to plug and abandon two wells and drill one exploration well in the offshore Otway. In the Western Flank, we have a 10-well oil development and appraisal campaign, ready to go with the rig negotiations entering their final stages. I'll provide detail on both of these programs, after we hear from Anne-Marie, on our financials.
Anne-Marie Barbaro: Thanks, Brett. Good morning all, and thank you again for joining us today. Our headline financial metrics are set out on Slide 10. As Brett mentioned, our results for the first half of FY 2025, reflect good progress towards our strategic review initiatives. Production and sales volumes were up 15% and 12%, respectively, which underpin growth in earnings and cash flow. Underlying EBITDA was up 20% to $587 million, million, underlying NPAT up 37% to $237 and operating cash flow up 88% to $659 million. While we recorded two Waitsia LNG swap cargoes, our revenue mix rotated from liquids to gas, thanks to a more than doubling of production from the Otway Basin and a 67% increase from the Bass Basin. For the half, Liquids accounted for 55% of sales revenue and gas accounted for 45%. For reference in the prior corresponding period, the split was 67% liquids and 33% gas. Also of note, is the 18% increase in our average realized gas price to $10.50 per gigajoule. This partly reflects a tightening market, which we've long anticipated as well as our strategy to expose more of our gas to spot and shorter-term pricing. Reprising of the Otway and Cooper Basin GSAs and the new enterprise GSA also contributed to stronger realized prices. Slide 11 steps out our underlying NPAT, which as mentioned, was 37% above the prior corresponding period. Strong revenues for the half were largely driven by an, uplift in production our Victorian Offshore gas assets, which Brett outlined earlier and LNG revenues. Lower cash costs contributed to earnings growth with a reduction in field operating costs driven by cost out initiatives, which are progressing well and lower third-party LNG purchases recorded, partially offsetting these reductions with higher North West Shelf LNG tolling charges as well as a result of additional LNG cargo this half. Slide 12 shows movement in cash during the financial year, which resulted in closing cash reserves of $251 million. Operating cash flow $659 million was 88% above the prior corresponding period, thanks to higher production, Waitsia LNG swap cargoes and cost-out initiatives. Lower income tax payment and lower and lower financing costs as a result of drawn down debt also contributed to higher operating cash flow. Cash capital expenditure of $413 million was materially below the $603 million recorded in the prior corresponding period. Cash outflows from growth activities reduced from $298 million to $191 million through a completion of some of our major projects, while cash outflows from sustaining expenditure reduced from $305 million to $222 million. Sustaining capital expenditure is on track to hit our FY 2025 target of less than $450 million. This will be achieved through a number of activities, including our cost-out programs and work program optimizations. On Slide 13, you'll see a much improved financial position. Higher free cash flow generation during the half saw us pay down $115 million of debt and end the period with net debt of $389 million, net gearing of 10% and available liquidity of $631 million. In recognition of the half year results and strong cash flow generation, the Board declared a $0.03 per share fully franked interim dividend. This is a 50% increase from the prior dividend and marks the first step in Beach's journey towards paying higher sustainable dividends. It should be noted that if you apply our capital management framework and dividend policy to the first half's pre-gross free cash flow of $431 million, you'll arrive at a dividend that is higher than $0.03 that we've declared. Our policy is applied over a full year free cash flow, and we're taking a prudent approach to the interim dividend, noting that in the second half of FY 2025 we'll be conducting abandonment in offshore Victoria and commencing our Western flake development drilling. Our aim is to deliver sustainable long-term dividend growth. I'll close by reiterating the Beach is in a strong financial position as reflected through our strong results for the first half of FY 2025. This allows us to maintain flexibility as we balance investment in growth while sustainably increasing our dividends to shareholders. On that note, I'll hand back to Brett.
Brett Woods: Thank you, Anne-Marie. Now looking more at the outlook for the remainder of FY 2025 and beyond. Slide 16 sets out our production and capital expenditure guidance for FY 2025. We have narrowed what was wide production guidance range of 17.5 million to 21.5 million barrels of oil equivalent to 18.5 million to 20.5 million barrels of oil equivalent. With first gas from Waitsia now expected in the fourth quarter, we will no longer be able to achieve the top end of the original guidance range. However, solid nomination in the Otway Basin, strong reservoir performance in the Western Flank, and a market improvement in the Bass Base and the first has given us confidence to also lift the bottom end. Key assumptions by basin are noted on the slide, it is worth pointing out that despite a higher Otway Basin and take-or-pay volumes at the calendar 2025, we have chosen to remain prudent with our guidance and assume 150 terajoules a day on average throughout the year. Other assumptions remain relatively constant with the exception of a much improved outlook for the Bass Basin. For capital expenditure, we are tracking to our original guidance and thus made no change to the $700 million to $800 million. The second half of the year, we'll see some additional spend on the Western Flank drilling campaign and the Otway Basin exploration well. It is important to know that abandonment activity is not included within this capital expenditure guidance, and I will touch on our abandoning campaign shortly. Progress against our FY 2025 targets is set out on Slide 17. As Anne-Marie mentioned, we have made great strides in driving cost out of the business, which is reflected in field operating costs and sustaining capital expenditure. For the first half, we achieved a 20% reduction from the prior corresponding period in field operating costs on a per BOE basis. This puts us well on track to achieve our FY 2025 target. Our sustaining capital expenditure reduced materially and is also on track to achieve our FY 2025 target. For our free cash flow breakeven oil price, the additional cash flow from the high-margin Waitsia LNG swap cargoes has reduced that figure to close to zero for the first half. We are well on track to achieve our full year FY 2025 target. Turning now to an important work program which will commence in this half. The harsh environment semi-submersible Transocean Equinox rig will soon be mobilizing to offshore Victoria, allowing us to commence our next phase of offshore Victoria activity. The Equinox rig campaign will kick-off activity for the offshore gas Victoria project, which have been planning for some time. The Equinor has been contracted as a part of consortium with three other operators for a total of 390 days plus options to extend, if required. Beach share of the rig campaign is roughly 240 days, which will allow us to undertake a comprehensive program of drilling abandonment and intervention activities. The Equinox Rig campaign is expected to include a range of activities. We will drill the Hercules exploration well and played it in a success case. The Hercules prospect is a large scale opportunity, which aligns with our inorganic growth strategy. We plan to drill and complete the La Bella 2 development well. This follows our successful efforts farm down the Mavis exploration well and a decision not to progress that opportunity at 100% equity. La Bella was previously conducted border line from an economic perspective. However, with the original alternative development pathways assessed, the project is modeled to have potential to meet our required investment hurdles. The previously discovered Artisan fill will be completed. We have the potential for a well intervention at Thylacine to optimize production performance. And lastly, we'll be abandoning five suspended wells, two in the Otway Basin and three in the Bass Basin. These activities will position us to undertake a program of subsea developments and connection of wells to the Otway gas plant with the view of achieving first gas in calendar year 2028. We expect to start the first phase of activity in the fourth quarter of FY 2025. This will include the two Otway Basin well abandonments and the Hercules exploration well. For FY 2025 capital spend of $40 million to $45 million for the Hercules drill is included in our guidance. The two abandonments, $40 million to $45 million of restoration expenditure is expected to be incurred, and as mentioned previously, is excluded from our FY 2025 guidance. After this activity, we'll have a break while other operators utilize the rig. We, therefore, expect to recommence work program from mid-FY 2026, while we plan to drill the La Bella 2 well, two completions at Artisan and La Bella and conduct abandonment of three wells in the Bass Basin. Further details on this part of the program and related expenditure will be provided late this year. It should be noted that all activities are subject to various regulatory approvals, including environmental approvals. Slide 19 provides a bit more detail on the Hercules glass exploration well. This is a large prospect with an assessed mean size of well over 100 bcf, which if successful, could extend production at the Otway Gas plant for many years. The prospect is just south of the Artisan discovery, and we are targeting the same Morris reservoir within a three-way fault bounded structure. It has seismic amplitude support, which has proven to be a key part of past expressions in the Otway Basin. If the Equinox remobilization and the drilling of Hercules progress as planned, we will look forward to sharing the outcomes of you before the end of this financial year. A quick wrap-up before we begin the Q&A. I trust you agree that today's results demonstrate good progress against our strategic review initiatives. It is certainly pleasing to report the completion of the two major projects, structural costs out being taking on business, growth in production and earnings and a higher dividend reflecting stronger cash flow generation and financial position. There is still, however, much work to be done. Our key priority is clearly the Waitsia gas plant and navigating the final commissioning stage with the operator Mitsui. As our early LNG swap cargoes have demonstrated, once the plant is online and fully delivering, Waitsia will provide a change in earnings and cash flow. With activity ramping up in our second -- our operated acreage across the offshore Otway Basin and Western Flank, we will be continuing our diligent focus on safety and environment as we deliver these important programs. We look forward to providing updates as activities progress. With our progress from the first half and in particular, commissioning of Moomba CCS, Beach continues to play an increasingly important role in Australia's gas supported energy transition. Our existing infrastructure and acreage positions and established presence in the East and West Coast markets underpin our value proposition. We will now open up the line to some Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from Tom Allen with UBS. Please go ahead.
Tom Allen: Good morning, Brett, Anne-Marie, and the Board of team. Given the first half free cash flow and the balance sheet are in good shape. Can you please update on how Beach will preference need to allocate capital to growth to support your reserve base and your medium-term production profile versus returning cash to shareholders over the next 12 months from here?
Brett Woods : So, obviously, when we get to our full year results, we'll be looking very closely at our expenditure and making sure that we fit to our dividend and capital management policy. We've got capital to be spent through the Otway Basin campaign, which I'm really looking forward to seeing the outcomes of that. So I think we've got a very balanced view about how we may be positive, partly conservative view about how we're going to manage our cash flows over the year. I'm really pleased in the position of the balance sheet. And I think we've got great optionality to do both, which is invest in maintaining our strong production position as well as giving progressive dividends and sustained dividends to shareholders.
Tom Allen: And is the focus Brett still, as you commented before, that any allocation or meaningful allocation to growth wouldn't be until the end of fourth quarter fiscal 2025 when the Waitsia gas plant is up and running? Or if the opportunity came about -- could we see move earlier?
Brett Woods: That's a really good question. I'm really pleased with the business is in terms of its operating discipline and what we've been able to do to our business. I think we talked previously about earning the right to grow. And it's not for me to judge, but I feel more confident that I've got an organization and a leadership team that can facilitate growth. And as opportunities arise, we will certainly look at hard at those things that make the most sense.
Tom Allen: Okay. Thanks. And then finally, it feels like the Hercules exploration well is an important one for Beach. Can you please clarify that if Hercules returns a sub-commercial outcome, what happens to Artisan gas? And how will you think about future drilling plans and investment in growth in Otway?
Brett Woods: Yes. So -- with that, in the event Hercules doesn't work, we would still look to bring Artisan online. There's some other operators executing program in the region, even our board of us, which has got some good synergies with our plant and potential to grow the value through our infrastructure. So we're looking at how we work with and alongside those parties to maximize value. So continuing to work that program.
Tom Allen: Thanks, Brett.
Operator: Your next question comes from Adam Martin with E&P. Please go ahead.
Q – Adam Martin: Yes. Good morning, Brett, Anne-Marie. Just back on the dividend, it looks like something like 16%, 18%. You've paid of sort pre-growth free cash flow. Just to confirm, in the second half, assuming Waitsia is up and running as expected, would you did the second half at somewhere between that 40% to 50% on a full year basis. So we're going to see a big top-up? Or just trying to understand that, please.
Brett Woods: Yes. I think the dividend -- well, the capital management policy has always kind of been in about a full year outcomes. So I think our -- we'll have a very hard look at what the impacts are from the rest of this year, which I don't think Waitsia would preclude a change to the dividend at full year. So I don't think we're hanging on that. We've delivered significant value through swaps. But I think both getting past some of the abandonment capital and having the exploration well drilled just gives me the confidence to deliver what I want to be as a sustained dividend. So our ambition is to get that to deliver that 40% to 50% of pre-growth FCS as dividend. That hasn't changed. We just got to get there and manage the balance sheet in a prudent fashion.
Q – Adam Martin: Okay. That makes sense. And then just in terms of these swap cargoes, clearly you need to return some of that gas -- that will come out Waitsia production. I mean we're assuming some cargoes 2026, some cargoes 2027. But just give us a sense of how quickly you need to return those cargoes, please?
Brett Woods: Yes. So we've given a little bit of color in the pack about of the LNG cargoes so far, 35% of that gas has come from our own production. So we don't need to swap that back. So of the swap cargoes effectively 65% come as time swaps. And if you think about our existing LNG license, effectively, the best way to describe it is fairly even distribution of cargoes each year. So we've got this expectation or when the plants at normal operating capacity, we should be getting between eight and 10 LNG cargoes a year. So if you take effectively what the gas we've delivered, you can see a relatively modest impact over those years progressively on a fairly even basis.
Q – Adam Martin: Okay. And just final question. A material portion of the Cooper Basin is got to get recontracted, where you're at in those negotiations. I think it's sort of around July sort of repricing, is that going to origin somewhere else and that can be short-term, long-term deal just a bit more color there, please?
Brett Woods: Yes, I'm really pleased to say that we've been able to achieve great progress on some short-term transactions. And you see that through our average realized gas prices that's heading in the right direction. We have done a couple of minor gas sales moving forward, really well priced, but I'm just being very cautious it's going to too early. Origin is certainly interested. I think other parties are -- we've got a lot of parties that are interested in that gas. And we're just -- I'm just trying to play that as carefully as I can to maximize value for the organization and make sure that we deliver gas at the right time to achieve that. So, yes, real positivity in terms of our marketing efforts at the moment.
Q – Adam Martin: Okay. Thank you.
Operator: Your next question comes from Dale Koenders with Barrenjoey. Please go ahead.
Dale Koenders: Morning guys. I was hoping you could expand on your comments for development concepts for La Bella and for Artisan? Are these backfill into the Otway plant and you say how long does that plateau production for? Or are you looking to develop through other plants?
Brett Woods: Artisan and La Bella can go through our plant. And I think that's our preference at the moment. If we have a big outcome at Hercules or we have an expected outcome at Hercules, we probably want to get that volume on first, and we may seek to put Artisan maybe across any other plant that has available -- in the region, really depending on where other operators go with their drilling. I think for me, and I've long talked about the challenges I have economically with La Bella. We've seen improvement in our cost base, improvement in the gas market. And also, we see some pretty low-risk exploration drilling outboard of us that I think will also significantly amplify the value there. So, I'm not going to commit today to what the development concept is, but we've got quite a bit of optionality that's emerging through the offshore Otway. And as we get certainly at the back end of the Hercules well, we'll be able to give a much clearer view of what our program is and the succession of backfilling that -- those prospects.
Dale Koenders: Partner of the, I guess, frustration or concerns of the market has been the roll-off of production for Beach and part of that is the Otway project. If these fields developed, how long can you sustain the Otway gas plant at full capacity for?
Brett Woods: Well, it really depends on the scale of things like Hercules and the other activity in the region. There is this campaign will be the consolidation rig campaign that ourselves, Amplitude and ConocoPhillips are executing wells give us quite a bit of optionality for sustaining the Otway gas plant for many years. And I guess the question you're really asking is what proportionality of Beach's gas would that represent? And at the moment, I think when we see the back end of the Hercules well, we'll have a much better view on what that looks like.
Dale Koenders: Okay. And then just in terms of abandonment spend, you sort of called out some works to 2025 and 2026. Are there other abandonment work to be done in the outlay of the bus over coming years?
Brett Woods: No, not in the short-term. This really represents our statutory and prudent while we've got a rig in place activity to make sure that we manage the wells we have. We're seeing through that sustained production at BAS that the -- BAS -- Ola field has quite a bit more life in it yet. So, there's no pending near-term abandonments associated with the program outside of the five that we've outlined in the presentation today and previously.
Dale Koenders: Okay. Thank you.
Brett Woods: Cheers.
Operator: Your next question comes from Henry Meyer with Goldman Sachs. Please go ahead.
Henry Meyer: Morning all. Thanks for the update. Just wait for as we move towards production, could you step through the current development and production plan? How long do you think you could sustain Plato 250 TGA day rates? And what level of production you might look to supply to the domestic market after 2028?
Brett Woods: Yes. We don't really give all that detail. Obviously, we've got our reserve statement out there. And our target is to get the plant to full capacity and deliver on through the LNG export window at our full rates. And then we've got additional program coming in with Arenaria, and we've got the potential to do an interconnect project from Beharra Springs to add additional volumes through the Waitsia plant and potentially into export as well, given the change to the export license conditions that ourselves and our joint venture partner are working through. So there's a lot of optionality there for us. And certainly through this decade and through next decade, well at you'll be delivering strong production through that facility, and as we get all our wells online. And just to be clear, we've completed Phase 2 development drilling programs. So all the wells that we need to get the plant up and fully supplied are in hand and probably to cut to the chase, what's the next question. All our pressure and cleanup tests are performing extremely well. So we understand the pressure regime and understand the compart mineralization. Beach previously took an adjustment on reserves. I don't see any risk there from the work that we've done so far. So, I feel fairly confident that what we have is going to deliver what we've promised to market.
Henry Meyer: Great. Thanks Brett. So just to confirm, based on current 2P reserves and ignoring any potential exploration success, do you think based on what you know, you can keep the plant full to 2028?
Brett Woods: Yes, yes. Absolutely.
Henry Meyer: Great. Okay. Thank you. And if I can squeeze another one. Just on the cargo swaps being returned. Are there any other costs or adjustments to think about there? Or is it purely just volume?
Brett Woods: I'll pick that across to Anne-Marie.
Anne-Marie Barbaro: Thanks, Henry. So, just in relation to the swaps, the majority of them are fewer times. So from a cash flow perspective, I guess, in future, we'll be producing that gas and returning it. So the cost of producing that gas is what you'll need to think about, what that costs now and basically we won't be getting the revenues for that. There's a small discrete swap fee. One of our contracts does have a payment now for the gas, and then when we return that gas, there will be a payment in the future, but that's sort of a smaller component of the total swaps that we've made to-date. So if you're modeling cash flows, it's really just thinking about in the future, like Brett talked about, sort of if you assume a roughly even distribution of returning that volume, it's just the cost of production.
Henry Meyer: Got it. Okay.
Brett Woods: Yes. We've worked closely with the parties -- the counterparties to make sure that we don't have some kind of picky return volumes. We're trying to do that on a smooth-out basis across the forthcoming years.
Henry Meyer: Great. Thanks Brett.
Brett Woods: Yes.
Operator: Your next question comes from James Byrne with Citi. Please go ahead.
James Byrne: Good morning, team. I wanted to prosecute the case a bit more on Tom Allen's excellent question just around capital allocation and portfolio. And just forgive me here for a little bit of preamble, but I think it's important just to set the same. Gearing, you've actually adjusted for LNG swaps, which are now effectively get in a way. Gearing is actually 16%. 2P reserve life, if we adjust the weight ramping up is about seven years and having fretted doesn't perform, then 1P reserves life is 3.5 years. But without organic growth left, I think those sort of adjustments that I've done suggest that the reinvestment treadmill in Beach is actually quite steep. Now our estimate, if you push gearing all the way to 25%, you have about AUD 0.5 billion headroom today. And I'm not sure that, that necessarily moves the needle enough in the absence of script to do an acquisition that's going to going to solve the longevity of the business. My question here is the payout ratio suggests you're pay out half your cash flows. And I'm just not sure that that's prudent necessarily given how steep this reinvestment treadmill is going to become. Now indeed, the Board hasn't been confident enough today to pay at the payout ratio. It sounds like for FY 2025, that's the case too. Anne-Marie, you mentioned that was because of abandonment and drilling activities in the second half, but I'd contend that they're actually a normal part of your day-to-day business. So why should we as a market expect the Board is going to be confident to pay those higher dividends in lieu of using that capital for the urgency in portfolio to do some M&A?
Brett Woods: Did you want to start with that one, Anne-Marie.
Anne-Marie Barbaro: I guess, yeah, I'll just say similar to sort of the things that Brett and I have both mentioned through the presentation today. The payout of the dividend is based on full year cash flow. So we wouldn't be looking to pay on just the first half alone because we do have more sitting in that basically, your free cash flow ex-growth. We've got more expenditure coming in the second half. So we've taken that into account. And it's not -- I guess, what we would say there is we are being sort of carefully measured in the way that we are allocating dividends. When we get to August and our full year results that will be revisited and obviously, we have a policy out there that we are looking to deliver within as we continue through the cycle. And from a gearing perspective, we are at 10% through some outstanding work from our commercial team, and that's not -- it is all value accretive. It's not value neutral is what I'd say on that one. James, it's not just a swap and the cash now versus the cash later. All of these swaps are NPV positive. Because of the way the LNG contract is struck, we're bringing value forward into a period where we are yielding really strong pricing. And I guess I'll hand back to Brett in terms of balancing M&A and dividend yield going forward?
Brett Woods: Yeah. And as I've mentioned numerous times, we've got a great opportunity in cash flow. Like as you're inferring if we get a downside outcome across our whole portfolio, that we would need to act. And I think that's -- if that was a possibility at that point in time, we would have stack. But we've got all marks through what we're seeing at the moment through our production activity and certainly through what we've -- now we've completed development drilling across Waitsia, understanding that what's in the ground there, certainly much better than what we did several years ago. So the level of confidence in terms of the organization that we can deliver long-term sustainable value from those assets. And continue to seek to grow them. Notwithstanding that, I think we've previously talked about later this decade that we do have production decline across the portfolio. I'm not -- certainly not hiding from that, Tom. And we are definitely -- sorry, James, we are definitely looking at how we continue to strengthen those -- our portfolio through a range of opportunities. So we've got a very strong balance sheet. We can utilize our balance sheet if we need to. But we're looking at about making sure that we get the right mix between giving good, sustainable returns and growing the business. So I do think we have a balance sheet that can support that.
James Byrne: Yeah. Okay. I guess philosophically, though, I wasn't talking to a downside case, right? I think seven years reserves life on a 2P basis is still reasonably short. I'm sure you've got a good cash flow hunt. But philosophically, I was testing whether paying half the cash flows is really consistent with solving for the longevity of the business. I think my second question then, when I talk to institutional investors, a big sticking point that I have personally and many institutional investors have is, what are we buying if we're buying today, given that decline that we can see a couple of years out. My question really is do you think that we should trust the management team and the Board today by being invested today, not necessarily knowing what the asset mix is going to look like in the future? Or can you sympathize with the view of people like myself that it's probably better to wait until we know what we're buying potentially after a deal?
Brett Woods: I can't -- I'm not in any place to give you personal financial advice, James. But what I see at the moment is a very strong leadership team that has access to a fantastic balance sheet that has enabled it to grow its business organically and also grow its business inorganically. So we've got, as you said, a great cash flow generative business, which we need to continue to manage and to nurture and to make sure that we get the right opportunities to come in to keep those cash flows coming. So I guess the investment thesis for yourself being your financial adviser of the day would be that I hope that you do trust what I can deliver and that -- and if you need to wait, well, then you pay at a higher price, I guess, is typically what happens. But I'm looking to try and grow the business and looking to deliver value from our assets. And I think we're on track to do that.
James Byrne: Excellent. Thanks. Really appreciate it.
Brett Woods: Yes.
Operator: Your next question comes from Gordon Ramsay with RBC Capital Markets. Please go ahead.
Gordon Ramsay: Good morning, everybody. I'm going to ask a positive question. Nice to see you reduced your field operating costs by 20%. Can you kind of highlight where that's come from? And is it mainly in the Otway Basin?
Brett Woods: It's actually across the whole business, when we did our headcount reduction, we haven't kind of focused on a particular asset. We've taken that across both corporate speech as well as across our field locations. We've been working with our contractors, getting better deals and trying to deliver high values. We've been looking at positioning our contractor base out of just solely being Tier 1 to picking some of those local suppliers to deliver a lower cost and high-value outcome. So Gordon, when you try and deliver these types of changes, you have to look under every stone. And we've really been focused on that. And that's been great. Clearly, we've had some help with lift in production. But in terms of the raw cost through the business, we're seeing great intent. And that's against the backdrop of higher electricity costs in New Zealand and some of the inflationary pressures. So I never want to stop our focus on reducing costs, but I'm very pleased with the direction we've gone. And we set a target for 30% headcount. We've reached 32%. That also speaks to a bit of the culture and the leadership team that they just want to keep on looking how to grow and how to mature and how to become more efficient across the space.
Gordon Ramsay: Thanks, Brett. Just on the Waitsia project. You made a comment earlier, I think it was Slide 7 that Clough personnel are now taking direction from Mitsui. I mean, that kind of scared me I would have thought that would have been the case all the way along because Mitsui is the operator. And then I guess, you put 20 professionals in there. Tell me I'm wrong, but are you kind of giving instructions to Mitsui gives instructions to Clough type of thing. Is this still not perhaps also ideal joint venture structure in terms of giving you a high level of confidence in the ability to deliver the commissioning of the project? Or have you seen a big improvement there?
Brett Woods: I think the challenges we had, the contractors that was signed originally had Mitsui taking over commissioning control. And one of the things that Beach has inherit in its business a high level of capability and particularly in commissioning, we're always bringing things online. So we have the expertise to help. So I've tried to deploy that and help -- so when I say Mitsui - so effectively, now we're going to commissioning, it's going in from project control to operational control in different parts of the plant. And the ops team is the Mitsui team. So it's just -- you have that kind of period between full project and obviously, where you've got commissioning, and we've certainly got a lot of help in that space. So -- we've got very senior people in the structure, giving great advice, giving great direction. I'd love to have more people in there. Just at the moment, I don't have an organization that is capable of probably giving too many more people just because of our other opportunities around the business. But I thought a great move. I was very disappointed not to have fuel gas into the plant. We're still waiting on a few valves and some pipe work to be delivered. But we worked with Mitsui to figure out how do we break that from being a critical path. And as you would have seen, when you visit that big am in train, we need to get that commission. That was a real important piece. So we've brought in equipment to get that commission so that we broke out the field gas centers that critical element of the critical path. So working together on those things has been quite good, having more influence in the joint venture has been fantastic. And I've got to give credit to Glen and his team who are speaking to Mitsui every day, working with them, engaging with our staff, making sure that we get this project up.
Gordon Ramsay: Last question from me and someone who has worked with maps, for a big part of their career. On comparing the map that you have for the Perth Basin in the December quarter report to the new one that you've put out today, and I'm looking at Redback Deep, and it looks like it's got a lot smaller. I'm a little bit worried. Is this just a schematic or is it an actual change in potential size of Redback Deep?
Brett Woods: It's just a schematic to be honest, Gordon and I haven't looked at that math in that much detail. Given we come from the similar background, I probably should have. But no, no, Redback Deep hasn't gotten any smaller.
Gordon Ramsay: Okay. Thanks for that.
Brett Woods: Yes, cheers.
Operator: Your next question comes from Nik Burns with Jarden Australia. Please go ahead.
Nik Burns: Yes, hi, Brett and Anne-Marie. Just back on Waitsia here look, Brett, I'm sure you know that the whole process has been a source of intense frustration for yourself and shareholders more generally. You talked about the delay and the introduction of fuel gas, but you've been able to mitigate some of that time line by bringing in other equipment to start some of the AMN commissioning. Just as we sit here today, how confident are you that the timeline to completion of first gas presented here is realistic and can be met with no change in CapEx? Thanks.
Brett Woods: Yes. So we engaged several external parties to do reviews, to very much get some more confirmation of that question. And there was a ton of that review, which is the -- what's being set out is achievable. And I hate to use this language, but somewhat conservative. So we've got to balance that that comment, from the external reviews of the conservative timeline was mentioned versus the actual delivery of activity in the field. And the challenges we've had with things La Bella, particularly about getting Xyris gas in. So I feel like we're fairly balanced, in terms of our risk understanding. Go and look at the plant, the plant build, and we've just got to replace these valves and get these valves from the suppliers in a timely fashion and get the process online. I hate to give a comparison, but you look at what Santos delivered with commissioning the Moomba CCS project, full rates within about six weeks that's kind of world-class activity. And we need to operate at the list to be able to deliver that type of outcome. And I'm trying to get in there and support them to do that.
Nik Burns: Got it. Thanks for that. You've called out opportunities for further gas swaps ahead of Waitsia start-up. Just can you talk about -- are we talking maybe one or two more cargoes? And you do mention Mitsui involvement there as well. My recollection is they haven't been involved with swap cargoes to-date. So are they looking now to partner up with you? So further swap cargoes, maybe 50-50 with them? Or how should we think about that?
Brett Woods: I think, Mitsui looks at them on a case-by-case basis. So -- we will continue to work with Mitsui on that. We have opportunities for additional swaps in the market. And yeah, we're looking very closely. I don't want to give you a promise Nik, because you'll put it in your model. But I'm hoping to get hoping to get another 1 at least out before the half year. And if I don't, I apologize in advance, but we certainly got the opportunity to do that.
Nik Burns: Got it. Thank you. One more for me, just on the Otway upcoming campaign, I mean you called out you're not going to drill Mavis. I'm just …
Brett Woods: Yeah.
Nik Burns: …my understanding that was commitment well. I'm just wondering, have you been able to get out of that commitment? And what does that mean? And then just following on from that, I think you're pretty bullish around the nearshore exploration campaign. Obviously, would use an onshore rig rather than offshore, but is there anything you can say about plans to progress near shore drilling in the next year or so? Thanks.
Brett Woods: Yeah. So we'll bring small plans to that later this year. I'll start with the initial. From the enterprise well slot there's opportunities to do additional wells. And we have really high-quality opportunities near shore that we can connect through. So we started the engagement with joint ventures and regulators to move that forward. And I hope to give you an update of that in an octane future, probably either at the full year or maybe at our next strategic update. I'll give you some color at that point. But they look really exciting to me. It's not just similar in size to what we -- how we view enterprise today, which is still very highly value accretive and relatively low cost. So I love those nearshore activities, because we can -- like you said, use an onshore rig, we can deliver it at a much lower cost volume. We don't have that challenge of mobilizing large offshore vessels around. So things like that make a lot of sense to me. Nick and I can't remember what the other part of your question was unfortunately.
Nik Burns: Just on the Mavis commitment...
Brett Woods: Sorry, Yes. So Mavis, we're working with the regulator on that. I can't really comment too much on that at the moment. Yes.
Nik Burns: Yes. Okay. Thanks. Thanks, everyone.
Brett Woods: Cheers.
Operator: Your next question comes from Saul Kavonic with MST Marquee. Please go ahead.
Saul Kavonic: Thank you, Brett and Anne-Marie. Putting rates side, perhaps on balance, it looks like the business is outperforming across the other assets versus your expectations six to nine months ago, came get your take on. Is that the case? And particularly, if we look at the outlook for FY 2026 and FY 2027, wait to your side, are you becoming more optimistic on what our production looks like over those years versus expectations at the time of strategic review earlier last year.
Brett Woods: Yes. It's a really good question, so at the point of the strategic review. I had some concerns of some of the option and we made changes to some of our reserves through that period. So I had some concerns through that. And what we've seen is much better performance against what the expectation was. So I feel pretty confident in the Otway in terms of production and reserves. Certainly, we've seen even across the Western Flank, we've been out to defend production, and we've got a really solid campaign of wells coming up across the Western Flank and there's development appraisal period. And then Bill and his team, will get the final look at what their exploration campaign looks like, which will follow on after the development plan -- development program in the Western Flank and that's looking pretty good. So I'm feeling pretty confident about where we are for certainly 2025, 2026 and 2027, no doubt we've got enough information to hand be able to fill that way. So I'm not promising any reserve upgrades at this point in time or anything, but I feel very confident about what our modeling suggests.
Saul Kavonic: Great. Thank you. Perhaps a question related to some of the early ones, but being most specific with a number of companies are scaring us new Queensland gas opportunities, inorganic ones, to meet the domestic shortfall forecast and LNG in next decade. Do you see a role for Beach to play in Queensland onshore CSG and tight gas?
Brett Woods: I think I've always had a view that CSG would be a good part of our portfolio. I think it's got that longevity, it's got that consistent cash flows. And as long as you've got the right acreage position you could take strong advantage of it. Now obviously, we're not there at the moment, but one of my direct reports, Glenn Watt is kind of an expert in this field. He's run assets across Queensland for one of major operators there. And it's got probably more experience than anyone else. So we've got some individuals in the organization that understand that pretty well. So if the right opportunity come up, I would certainly have a look at it.
Saul Kavonic: Great. And just last one, I think following on from the previous question, just on Mavis isn't mentioned anymore. We've got product for the next few months. It seems -- I'm just looking at slide 17, nothing for the FY 2026 activity is suggesting more exploration. Hercules is basically it for the next 18 months in terms of big offshore exploration prospects you're targeting? Or is there scope to put additional things in the FY 2026 program?
Brett Woods: Yes. So this Hercules is the only one we're discussing at the moment, but there is scope to do two other things. And we're just working on those at the moment. And hopefully, we can give the market an update when close to that time.
Saul Kavonic: Great. Thank you. That's all from me.
Brett Woods: Yes. Thanks.
Operator: Your next question comes from Rob Koh with Morgan Stanley. Please go ahead.
Rob Koh: Good morning, and congratulations on the amounts achieved so far. Just a few questions on the swaps, the gas swaps You've kind of given us some color of where the gas has come from the 35% from your own production, is that a good way to think about the sourcing of the swaps this half 35-65? Or is it a bit more case by case?
Brett Woods: No, I think that's fairly representative of how you should think about it moving forward.
Rob Koh: Okay. Great. And then I guess, I'm just looking at the accounts, and I was just trying to because there was a comment on one of the other questions about gearing, including swaps being significantly higher. Just wondering if Ms. Barbaro has any further feedback on whether that number was right or not. I don't think it is. But where in the accounts is the financing component of the swap obligations, please?
Anne-Marie Barbaro: No, there is no financing obligations as such that would be incorporated into a gearing calculation. So I can't speak for James' calculation, but our gearing, as outlined in our park is $0.10 from a swap obligation perspective, I guess the only place that you would probably see through the financials is within the inventory on balance sheet. So there's sort of that, borrow and loan that you account for as effectively just at the cost to produce that gas in the future. So like I spoke to earlier in Henry's question, when you're thinking about modeling how these swaps get returned, from a cash flow perspective, you should be thinking about what it costs to produce that gas, and that's the cost effectively to return that gas in the future. With one of the contracts, we do have them paying us for that gas in the future as well, which also is a good little cash flow for us in that return period as well.
Rob Koh: Great. Yeah, that's consistent with how I understood it. So that works -- all right. And then you've called out in the second half a little bit of P&A activity, which is, I guess, going into your thinking on dividend, which makes a lot of sense. Can I just get some color on how you're managing those costs, how that market for restoration and rehab is going? And is it worthwhile for example, bringing forward activity if there's equipment available, labor available? Or is it better to just full statutory obligations and keep pushing out as much as you can.
Brett Woods: I think for us it's about looking at wells that we fear that might have some issues. So we're just taking advantage of a rig being in the region to fulfill an obligation to make sure that the barriers are proper in place. So we obviously investigate all our wells all the time to check that they have strong and intact barriers. So a couple of those wells are starting to have some challenges. So we wanted to get them done and hence, moving them through. The best solution for abandonment is to do it at one time, so that you can mobilize once you have all the equipment and have the right people there. And that's, obviously, best done at the end of the project. So it's probably not normal to do this in this time line, but outside of wanting to make sure that we have integrity across those wells and across those barriers. So we felt like that was an absolute requirement and a regulator agreed with us that there is a requirement to do that. So we moved that forward. But otherwise, I would suggest that doing things once and at the end is a much more prudent use of capital and a much safer way to do it because you'll have all the right people and equipment in the right place. And moving forward with additional abandonments for others, there'll be more equipment and things. And I think the competitiveness of the market will progressively increase as well.
Rob Koh: Okay. Thank you very much. That’s super helpful and good luck with the rest of it. Thank you so much.
Brett Woods: Sure. Thanks.
Operator: Your next question comes from Mark Wiseman with Macquarie. Please go ahead.
Mark Wiseman: Thanks for the update, Brett and Anne-Marie. Just a few, hopefully, quick questions. On Waitsia, you mentioned eight to 10 LNG cargoes per year. Can I just check, just the ACE is that net of the time swap settlements over the next few years and the 10 would be without? Or is there some variability year-on-year on production as well?
Brett Woods: I think you've seen through me, Mark, yes, that's a fairly accurate man.
Mark Wiseman: Okay. And just on the Waitsia, the delay to introducing that fuel gas. I appreciate what you're saying around the AMN testing. But could you just talk through what was the root cause of the issues with introducing fuel gas? Was it a spec issue or a pipe valve issue?
Brett Woods: No, unfortunately, just valve issues. So part of the challenge is being a slow construction phase is some of the valves fit in location for a long time without being served. And some of them are in locations that they couldn't be properly pressure tested. So when they were finally able to be fully pressure tested, some of them were passing beyond what the specifications would allow. So they have to be rectified and then replacements need to be put in place. If you can execute a project in a much more timely fashion, these are normal project activities that you should get done. But over the longevity of this execution period, some of these issues have popped up. So the majority of those valves are all fixed and in place. We've still got a few that were waiting supply chain-related issues to get in place and we'll get that done not too distant future. But I'm being very conscious about getting the project up. Obviously, we all have shareholders alike, and so the clear way to kind of accelerate some of that time is to break. As you know, Mark, bringing the gas into the plant was the key tool to be able to commission the rest of the plant. So rather than having everything still waiting for available or two, we brought some equipment into that we can continue to commissioning phase around bringing those first gas in. And so that remains the focus of us, of course, but it enables us to get on with work and not have to wait for a supply chain issue.
Mark Wiseman: Okay. Fantastic. And just finally for me, on the sustaining CapEx. Within that $700 million to $800 million guide, the sustaining was $420 million to $480 million, you've spent $195 million in the first half, is there anything seasonal between the second half and the first half that we should think about? Or it looks like you've driven out quite a bit of cost there.
Brett Woods: Yes. So probably the difference what we normally include in sustaining is Western Flank development drilling. And so we're bringing a rig in. So while we're still guiding for the targets or our forecast, I should say, is because we have that rig coming in to do those 10 development well -- development wells across the Western Flank. So obviously, you wouldn't have seen that in the first half activity, but that's the second half activity there has been the CapEx spent on.
Q – Mark Wiseman: Fantastic. Thanks very much.
Brett Woods: Cheers. Thanks, Mark.
Operator: There are no further questions at this time, and that does conclude our conference for today. Thank you for participating. You may now disconnect.